Jim Gustafson - VP, IR:
Paul Keel - President and CEO:
Eric Hammes - CFO:
Operator: Hello, my name is Madison and I will be your conference call facilitator this afternoon. At this time, I would like to welcome everyone to Envista Holdings Corporation's First Quarter 2025 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] And I will now turn the call over to Mr. Jim Gustafson, Vice President of Investor Relations at Envista Holdings. Mr. Gustafson, you may begin your conference call.
Jim Gustafson : Good afternoon. Thanks for joining Envista's first quarter 2025 earnings call. We appreciate your interest in our company. With me today are Paul Keel, our President and Chief Executive Officer, and Eric Hammes, our Chief Financial Officer. Before we begin, I want to point out that our earnings release, the slide presentation supplementing today's call, and reconciliations and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call are all available on the investor section of our website, www.envistaco.com. The audio portion of this call will be archived in the investor section of our website later today under the heading Events and Presentations. During the presentation, we will describe some of the more significant factors that impacted year-over-year performance. The supplemental materials describe additional factors that impacted year-over-year performance. Unless otherwise noted, references in these remarks to company-specific financial metrics relate to the first quarter of 2025, and references to period-to-period increases and decreases in financial metrics are year-over-year. During the call, we may describe certain products and devices that have applications submitted and pending certain regulatory approvals or are available only in certain markets. We will also make forward-looking statements within the meaning of the federal securities laws, including statements regarding events and developments that we believe anticipate or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings, and actual results may differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements except as required by law. With that, I will turn the call over to Paul.
Paul Keel: Thank you, Jim. Good afternoon and welcome, everyone. We appreciate you taking the time to join us today. We will cover four items on today's call. I will kick us off with some opening thoughts on our first quarter results. Next, Eric will take us through the numbers in more detail. Third, I will close with an update on our strategic and operational progress, including how we are navigating the current environment. And then, as always, we will open it up for your questions. Slide 4 summarizes three things, first quarter results, progress on the plan we laid out at our Capital Markets Day, and the actions that we are taking to navigate the current environment. Let's begin on the left with Q1 performance. In short, it was a solid start to the year for Envista. We delivered core growth of 0.2% and adjusted EBITDA margin around 13%, both in line with our expectations, as well as adjusted EPS of $0.24, a bit ahead of our expectations. In addition to this, we made good progress on the $250 million share repurchase program that we announced under Q4 call. Moving to the middle of the slide, we delivered growth across most of the portfolio, including consumables and Nobel Biocare, as well as Ormco, excluding China, where ortho VBP preparations are underway. We saw broad-based progress on the operations front, with gains in areas like customer service, price, G&A productivity, and Spark margins. And we made progress across multiple people priorities, including a 4-point jump in employee engagement, as we benefit from the momentum we've been building across the past few quarters. Turning to the macro environment, the global dental market was generally stable in Q1, with underlying demand similar to what we saw in the second half of 2024. As we know, dental tends to be more resilient than the overall economy. While U.S. consumer confidence indices have deteriorated since the start of the year, we did not see this manifest in our Q1 results. Geopolitical uncertainty has continued to moan, of course. As a consequence, we are ramping mitigating actions to further increase our resiliency moving forward. For example, the restructuring we announced on our last call, as well as additional cost controls throughout the quarter, is contributing to good G&A productivity across Envista. We captured price across most geographies and businesses in Q1, furthering the momentum we built in 2024. We took advantage of the flexibility embedded in our global supply chain to activate changes in source supply in response to announced or anticipated tariff activity. And as Eric will say more about shortly, we benefit from a strong balance sheet. I'll say more specifically about the tariff landscape later in the presentation, but like many global players, we launched a tariff task force early in Q1. Tightly coordinated communications coupled with strong operational capabilities have allowed us to move nimbly in response to the shifting environment. Taking into account tariff announcements made to date, balanced against the good momentum we're building, and the solid start in Q1, we are maintaining our 2025 guidance of 1% to 3% percent core growth roughly 14% adjusted EBITDA margins, and adjusted EPS of $0.95 to $1.05. I'll now turn it over to Eric to walk us through the numbers.
Eric Hammes : Thanks, Paul. In the first quarter, we delivered sales of $617 million. Currency exchange rates negatively impacted sales year over year by about 140 basis points, while core sales in the quarter increased 20 basis points. Our specialty products and technology segment declined about a point, and the equipment and consumable segment increased about two points. As a reminder, Q1 2025 had two fewer billing days versus Q1 2024, which generated a modest non-operational headwind, the impact of which you will see more in our specialty products and technology segment, given the direct nature of the business. As Paul mentioned, we posted positive growth in consumables, premium implants, and in orthodontics outside China. Consumables was strong across most categories and geographies. We posted a second consecutive quarter of growth in premium, including North America, which is an area of particular focus for us. Ortho was positive, both in Spark and brackets and wires, again excluding the effects of VBP preparation in China. Our Q1 adjusted gross margin was 54.8%, a decrease of 260 basis points versus the prior year, with foreign exchange rates being the primary headwind. We'll cover in detail specifically in our margin walk, but the weaker dollar trend from Q4 to Q1 resulted in a net FX transaction loss from balance sheet remeasurements. From an operational perspective though, our supply chain performed in line with our expectations, including another quarter of strong Spark unit cost reduction. Our adjusted EBITDA margin for the quarter was 12.8%, which was 120 basis points lower than the prior year. Overall, margins were hurt by the net FX impact already mentioned, but helped by G&A productivity, price, and further improvements in Spark margins. Adjusted EPS in the first quarter was $0.24, down two cents compared to the same quarter of last year, but slightly above our expectations. Our non-GAAP tax rate for the quarter was 31.5%, favorable to our expectations, although we are still forecasting a full year figure of approximately 37%. Finally, free cash was an outflow of $5 million in Q1. The first quarter is typically a low cash flow quarter for us due to the timing of incentive compensation and working capital. The year-over-year reduction was a result of a low incentive compensation payout in a comparable period last year. Let's now turn to two bridges to help us break down our year-over-year results, beginning with the sales bridge. For year-over-year revenue, foreign exchange was a headwind of $8 million due to the dollar, on average, being stronger in Q1 2025 than it was in Q1 2024, moderated a bit by the fact that the dollar weakened notably during the quarter. Sales volume was roughly flat in Q1. This is the net of growth in consumables, premium implants, and orthodontics, offset by declines in diagnostics globally and brackets and wires in China. The Spark revenue deferral change accounted for an approximate $4 million headwind in Q1. This is consistent with the guidance we provided last quarter. We expect Q2 to be roughly neutral year-on-year, and in the second half, we expect year-over-year benefits from the unwinding of our higher revenue deferral. Price was a benefit of $6 million over the prior year, as we delivered approximately 1 point of growth through price execution. We have been working for the past several quarters leveraging EPS in order to increase our yield on price changes globally. In Q1, we saw improved price performance across many of our businesses and geographies. Turning to the adjusted EBITDA margin bridge, foreign exchange rates were a net headwind of 170 basis points, principally due to the transactional effect mentioned earlier related to the U.S. dollar weakening within the quarter. Volume and mix represented 120 basis point declines connected to the negative growth of high margin brackets and wires in China and relatively fast growth in select portfolios within Nobel and consumables, which carry margins below fleet average. Spark deferrals represented about 60 basis points of headwind versus the prior year. Similar to my comments on revenue, we estimate the Q2 margin impact from Spark deferral to be roughly neutral year-on-year before turning to a tailwind in Q3 and Q4. On the positive side, we had a net productivity gain of 150 basis points in the quarter. As Paul mentioned, we reached another record low on Spark unit costs and delivered year-over-year reductions in G&A, including corporate spending. And rounding out the walk, our previously mentioned progress on pricing contributed 80 basis points of margin expansion in Q1. Turning to segment performance, for revenue in the specialty products and technology segment declined 70 basis points year-on-year. In our orthodontics business, as Paul mentioned, we saw growth in both Spark and brackets and wires outside China. On the implant side, premium delivered another quarter of positive growth, although Challenger contracted slightly after consistent growth across 2024. In Q1, our specialty products and technologies business had an adjusted operating margin of 14.1%, down about 100 basis points year-over-year. This decline was driven by FX transaction losses within the quarter, the net impact from our Spark deferral change, and a decline in ortho China volumes. Moving to our equipment and consumables segment, core sales in the quarter increased by 170 basis points versus prior year, as mid-single-digit growth in consumables was partially offset by a high single-digit contraction in diagnostics. Our adjusted operating margin for this segment declined 360 basis points versus Q1 2024, mainly driven by FX transaction losses within the quarter and partially offset by the previously mentioned volume and price growth in consumables. Next, I'll turn to cash flows and our balance sheet. Q1 free cash flow was minus $5 million, a reduction of $34 million year-on-year, primarily driven by the low incentive compensation payout in 2024 that I mentioned earlier. Our balance sheet remained strong and stable, with net debt to adjusted EBITDA of approximately 1 times. As we outlined at our Capital Markets Day, Envista has an excellent balance sheet and good underlying financial strength. This provides a strong flexibility during periods of macroeconomic uncertainty, much like we see today. Given this financial position, three months ago, we announced a $250 million share repurchase program. In Q1, we purchased $19 million of our stock, or just over 1.1 million shares. That covers our Q1 financial review. I'll now turn the call back over to Paul for a strategy and operations update.
Paul Keel: Thanks, Eric. At our capital markets day in March, we laid out a value creation plan consisting of four components, guided by our purpose, centered on our values, focused on our priorities, and framed by our guidance. By way of update, I'll outline Q1 progress on priorities on the following slide, next provide a bit more detail on the tariff landscape, and then wrap up with some closing thoughts. As Eric detailed, we had a strong start to 2025 from a financial perspective. The same is true in terms of our strategic and operational progress. With respect to growth, we already covered our headway in consumables, Nobel and Ortho, as well as price capture across most of the portfolio. We also posted good performance across most geographies, positive growth in North America, Japan, and emerging markets excluding China, and flat in Europe. In addition to these, we're continuing to make good progress on the commercial and clinical front, having trained more than 15,000 customers in the quarter. Many of you will have read the positive reports covering this year's international dental show in Cologne. I hadn't been there since before COVID, but the spirit of innovation and optimism that is characteristic of the event was as strong as ever. Some 135,000 visitors from more than 150 countries were in attendance, along with over 2,000 exhibitors. While there's plenty of near-term macro uncertainty, as I'll come on to in just a moment, long-term confidence in the dental market remains high. On the operational front, we continue to enjoy strong contributions from EBS, our continuous improvement methodology that is central to how we deliver results, develop our people, and advance our culture. By way of example, we continue to serve customers at very high service levels, with on-time delivery around 95%. Dependable customer service is always important, but particularly so in times of heightened uncertainty. We're seeing improved G&A productivity, supported by the actions we took in recent quarters to address redundancies and streamline processes. And as mentioned earlier, Spark posted another successive quarter of gross margin improvement, and we remain on track for this business to turn operating profit positive in the second half. Finally, with respect to people, we saw a nice uptick in employee engagement in Q1, with broad-based improvement in important areas like communication, collaboration, and advancing an energizing work environment. We also saw year-on-year improvement in employee retention across both our professional and production teams. And a refreshed leadership team is working well together, benefiting from a nice balance of experienced Envista leaders with deep market knowledge and customer relationships, supplemented with fresh perspectives brought in from other high-performing companies and cultures. Three thoughts on today's highly fluid tariff landscape. First, one of Envista’s fundamental strengths is our exceptional global reach. We have 2,400 commercial leaders working with customers across 130-plus countries. We serve these customers from a manufacturing footprint spanning three continents. Our worldwide reach is clearly a competitive advantage, but by definition, it also exposes us to macro shifts in areas like raw material supply, currency fluctuations, and yes, tariffs. Specific to current tensions between the U.S. and China, we have strong positions in both markets. This has served us well over time and will continue to be a benefit moving forward, but it does come with heightened uncertainty in the current context. As we have detailed in other investor communications, our supply chain is well architected to respond to shifts of this sort. Most of our large businesses have sources of supply in two or more countries, and the vast majority of our product registrations cover multiple supply locations. While any change takes some time to implement, the takeaway for stakeholders is that we have good, albeit not complete, flexibility to navigate the current environment. Let me give you a feel for some of the actions currently underway. Our tariff task force has been meeting daily, and our senior management team meets weekly to understand the latest developments, to agree on appropriate actions, and to ensure effective execution. We have already transitioned some sources of supply, and further moves are underway. We're working closely with suppliers and partners to ensure clear communication and good execution across our broader connected supply chains. All sides understand that costs could increase, either directly from specific tariffs or indirectly from downstream inflation effects. Collaboratively optimizing how these costs are managed through price and other levers makes a big difference for impacted stakeholders. And as Eric detailed in his comments, we're managing costs wherever we can to help offset increases that are outside our control. And third, let me frame the tariff impact to our business. Beginning with Q1, the impact was negligible. Looking forward to the balance of 2025, we expect to broadly offset the impact from the tariffs currently in effect through the range of mitigating actions that I just described. Each of these efforts has a different implementation timeline, so we anticipate net headwinds in Q2 with offsetting tailwinds in the second half. I'll close my tariff comments with the most obvious, but also the most important point. This is naturally a highly fluid environment. While I feel good about the flexibility embedded in our global footprint, as well as the execution orientation of our organization, things have and most likely will, continue to change. I'll wrap things up with some closing thoughts on the quarter. First, the general market performance in Q1 was pretty similar to what we saw in the second half of 2024. Second, our Q1 performance was in line with our expectations and a good start to the year. We continue to build strong momentum as reflected in the results we shared today. With respect to the macro, dental is most responsive to three or four economic indicators with a mix of pluses and minuses at present. On the downside, consumer confidence is clearly trending the wrong way. After five consecutive months of gains across the back half of 2024, the University of Michigan Consumer Confidence Index declined every month this year and is now back to the lows of 2022. While dental is empirically more stable than the broader economy and has lower regulatory or reimbursement risk than other healthcare categories, the flip side is that higher out-of-pocket pay means increased consumer sensitivity. Unemployment, on the other hand, is a positive at present. People with jobs tend to also have dental insurance, which underpins the stability of dental, especially in non-elective categories. Employment levels are currently good across most major economies. Interest rates are probably somewhere in the middle. On the one hand, most central banks lowered rates across the fall, and several continued to do so in Q1. On the other hand, absolute levels are still above where they were pre-COVID, and the go-forward forecast for further loosening is less certain today than it was a few months ago. Which brings us on to tariffs. As I walked through a moment ago, we have good plans in place to offset the levies currently in effect. As our initiatives ramp, any gap in Q2 should be recovered in the second half. While well understood by this audience, I'll nonetheless again underline the fluidity of the situation. Today's news could well be out of date by tomorrow. Netting all this out, we are maintaining the 2025 guidance that we put forth on our Q4 call, albeit with a wider confidence interval for the reasons just mentioned. I'll close by noting that navigating today's shifting environment while challenging also showcases the commitment and expertise of our global team. We have talented and dedicated people here at Envista, and I am grateful for all you do in the service of our stakeholders. That completes our prepared remarks, and we'll now open it up for your questions. Thank you.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Jon Block with Stifel. Please go ahead. Your line is open.
Jon Block: Thanks, guys. Paul and Eric, thanks for the questions. I'll push a little more on tariffs as it's top of mind for many investors right now. So given the constantly changing environment, can you just say a little bit more about your current tariff exposure and maybe just provide some specifics on what you're doing to mitigate the impact? Thanks.
Paul Keel: Yeah, thanks for the question, Jon. That is a good place to start. The lion share of our tariff exposure sits in three areas. As you might expect, our two largest categories are U.S. goods imported into China and then Chinese goods imported the other way into the U.S. Now, with respect to the former, most of our exposure here comes from our own facilities, in particular, premium implants that we sell in China but make in one of our plants in the U.S. So in terms of mitigation, we have two major implant manufacturing locations, one in the U.S. and one in Sweden. They have similar capabilities and product registrations. So while, as I mentioned in our prepared remarks, it does take a bit of time to implement. We're in the process of shifting a portion of the China supply from the U.S. to Sweden. Now, secondly, with respect to the Chinese imports into the U.S., these are a little bit different. They're principally raw materials and semi-finished goods that come from our suppliers. So a different array of activities are underway to mitigate the impact here. For example, we expect our suppliers to mitigate the tariff impacts themselves rather than passing it on to Envista. And like Envista, many of them have manufacturing locations in multiple countries, so they have supply changes underway in their own networks. We're also qualifying additional suppliers to build further resilience and optionality in our supply base. That then brings us on to the third, the smallest category of tariff exposure, that's European imports into the U.S. These are similar to the first category. Most of this is finished goods that we produce in an Envista site but sell to customers in the U.S. So a couple of examples to flesh it out. We produce some of our imaging equipment for U.S. customers in Finland, and we produce some of our consumables in plants in Italy and the Czech Republic. Now, as with premium, we have U.S. manufacturing for both of these businesses until, again, we're rebalancing the supply chain to take advantage of that. We don't have complete flexibility in this regard, but overall, we're in pretty good shape. Finally, to round out the tariff situation, in addition to these supply chain-specific actions, we're also taking more general countermeasures that include things like COGS and G&A productivity and further gains in price capture. Actions of this sort further mitigate the impact of tariffs where our supplier management or our manufacturing activities don't fully offset the cost. Let me pause there and see if that gets at the heart of it, Jon.
Jon Block: That certainly does, Paul. That was great. Thanks very much. A lot of good detail there. I'll pivot for the second question. I feel like this is going to come up on a handful of demo calls over the next week or so, but I'd just love to hear a little bit about April trends. Maybe just call it general trends, just volume-based, and your thoughts there. What it does or doesn't mean when we think about conversion to higher ASP procedures, such as implants and clear aligners, where you guys have a good chunk of business. Thanks for your time.
Paul Keel: Maybe I'll come at it from three levels. What are we seeing broadly in the market? Has there been any change from Q1 now rolling into Q2, and then the specifics, what we can share about the beginning of the quarter? The macro market trend is very similar. Q1 was similar to the second half of 2024, and the start of April looks a lot like March. Of course, we're aware of some of the macro indicators deteriorating, but again, we don't see that yet manifesting in our results. Maybe the second part of it is April for us is off to a pretty good start. You can't read too much into a first month of a quarter, but we're encouraged by the early start. And then thirdly, specifics across the portfolio, we don't see any major shifts from, say, a lower ticket procedure, like a single-tooth restoration versus all-on-four. We don't see any major shifts between another one that we get asked about is brackets and wires to clear aligners. I think the takeaway here is in general relative to what we all remember pre-COVID, the market still is slow, but it's pretty stable so far this year.
Jon Block: Great color. Thanks, guys.
Operator: Thank you. Your next question comes from the line of Jason Bednar with Piper Sandler. Please go ahead. Your line is open.
Jason Bednar: Good afternoon, guys. I want to follow up on John's question there on the tariff side, maybe just hoping for maybe a little bit more of a prescriptive look on what you're seeing with growth and net impacts from tariffs in the business this year. Net obviously seems zero, but just if you can talk about what you're assuming in the guide? And trying to understand, do you have line of sight to that mitigation fully benefiting or offsetting in the second half of the year? And final, I guess third part of this question is, do you have some assumptions built in here around the tariff pause remaining in place or that tariff pause being lifted? I don't think I heard that in the prepared remarks.
Paul Keel: Let's see. There's a couple of things in there, Jason. Let me see if I can remember them and remind me if I miss one. First, what is in our guide? Our guide includes tariff activity in effect today. We don't take a position on what might happen tomorrow. Similar comment regarding FX. Our guide includes spot rates as of the end of Q1. We don't take any position on what might happen with currency moving forward. I asked about -- I guess how confident are we that we can mitigate those tariffs already in effect across the back half. I would say our confidence is less certain than we were at the end of Q4 when we gave the guide. The error bars here are wider, but I would say the expected outcome is the same. That's why we're maintaining guidance. Maybe a bit more color on that. It's entirely conceivable that there could be benefits to the guide. If inflation, for instance, heats up more, that would be a more pricing supportive environment and that would help to the upside on our core growth guide. The other side of that, of course, is also true. An inflationary environmental will pressure COGS and margins, and that would be a potential downside. As we look across the different scenarios, again, we think that the guide we gave at the end of Q4 that we're maintaining today is still the most appropriate guide for the full year.
Jason Bednar: Okay. I think the first part, if we can come back to it on the gross impact, if you could quantify that for us. Then there's a follow-up question, also similar to John's follow-up question, I guess, but different tactics. How are dentists responding here real-time to uncertainty just in March and April? Can you talk about what you're seeing with respect to capital purchase decisions, shifts in supply purchase priorities, inventory that offices are holding? I just would love to just get, again, a kind of a current real-time or fresh look at some of those dynamics.
Paul Keel: Yeah. Let's see. In terms of the gross impact, if I can give you a bit more color. We are a net exporter from the U.S. into China. So the piece I talked about, premium implants made in the U.S. going into China, that's a bigger number than the raw materials and the semi-finished goods that we purchase from suppliers that come back into U.S. plants. That's the biggest chunk of the exposure, those two buckets. The European piece that I talked about with Jon's question is smaller. And I would say the mitigation plans we have in place, although there's some variability on how quickly we get implemented. Our ability to do so is pretty clear. We have multiple factories and we can move and rebalance supply across that. Let's see. You had a second question regarding tariff impact on customers. Probably easiest to think of it in two, let's say three broad categories. Let's think of it DSOs versus sort of individual proprietors, a doctor who might have a clinic or two. And then let's think about it, U.S. versus different parts of the world. The DSOs I've spoken with across Q1, we're in pretty good shape. We're in pretty confident. Some of them have been at some of the dental shows, so I know that the cell side has spoken with them. And I think they're continuing to see good activity. Some of the smaller customers of ours, they're closer to the consumer end of the spectrum. So some of the uncertainties that a normal consumer would feel in the current environment, they feel as well. I added that category U.S. versus international. It's pretty different. I would say that the uncertainty is higher here in the U.S. than it is in other developed markets. I think there's a noticeable difference in sort of attitude, U.S. versus Europe. And then I was in China earlier in Q2 before the tariff activity really heated up. And there, I would say that I went to a couple of large DSOs and things were feeling pretty good, to give you a feel for it.
Jason Bednar: All right. Helpful. Thank you.
Operator: Thank you. And your next question comes from the line of Elizabeth Anderson with Evercore ISI. Please go ahead. Your line is open.
Elizabeth Anderson: Hi, guys. Thanks so much for the question. I had a question about VBP. What are your current expectations in terms of the timing and extent of VBP this year? And then also, perhaps, what have you sort of embedded in your guidance for that as we think about the next couple of quarters?
Paul Keel: Let's see. VBP, ortho VBP, the kind of soundbite here, Elizabeth, is that it's progressing pretty in line with what we expected. The Chinese government is getting good at this, having gone through multiple categories. To give you a little detail on that, we expected that they would break ortho VBP into two distinct but related processes, one for the procedure cost and then one for the supply cost. That's exactly what we're seeing. The procedure cost VBP is currently underway across multiple provinces. We expect that to complete in the first half. And then if they follow past precedent, the supply VBP would follow shortly after that. Second thing we expect, a major goal of these VBPs is to consolidate supply in order to maximize purchasing power. As we saw with implants, the larger market share players going in tend to get even stronger coming out, provided they have the capabilities to compete in the new environment. We saw that in our implants business. While there was certainly a material impact to price, down in the 40%-plus range, there was a larger increase in volume to us. Net-net, it was a benefit. We have a very strong position in brackets and wires in China, so we expect a similar net benefit in that regard. And then third, you asked about what is included in our guide. We expected to see a soft first quarter, maybe a soft first half in brackets and wires in China. That was in our original guide. We saw exactly that in Q1. We expect to see a benefit now in the second half when that product VBP completes, and hopefully we navigate the process correctly.
Elizabeth Anderson: Got it. That's helpful. And maybe just as a follow-up, we obviously saw some nice consumable sales in the quarter. And I know you had previously mentioned that that's not as impacted by the selling day's impact. Is there anything that we should think about in terms of distributor restocking, or would you say that that had pretty good sell-through dynamics? Any color there would be helpful?
Paul Keel: So yeah, consumables was a good quarter for us. I would say a couple of things, Elizabeth. First, consumables and other covered or non-elective categories tend to always do better relative to the elective categories when confidence drops or the market slows. So I guess I'm not surprised that our consumable business was stronger. We'd expect that to continue. Pretty stable business for us. That'd be the first thing I'd say. The second thing is we've worked hard last year, as you guys will remember to try to diminish the inventory impacts through consumables, which of course is a distributed category for us. Our operational capabilities are high. I talked about our customer service levels being consistently strong. Our partners understand they don't need a lot of inventory to serve their customers. So if you take more of the inventory out of the channel, you take out some of that variability to buy forward, et cetera. So I think that just further increases the stability of the business for us. So consumables, good stable category. We have a good position in it and we're off to a good start in 2025.
Elizabeth Anderson: Super helpful. Thank you.
Operator: Thank you. And your next question comes from the line of Jeff Johnson with Baird. Please go ahead where the line is open.
Jeff Johnson: Yeah, thanks. Good afternoon, guys. So Paul, you mentioned a 1 point price benefit in the quarter. I remain pleasantly surprised by that. My view has been that pricing power is tougher and tougher in dentistry, especially in this environment. But I guess my question is, you also talk about that as potentially a tariff mitigation strategy. As I talk to some of the dealers, I think what I'm hearing is especially those who are making in China, bringing into the U.S., those low cost guys, if they really jack prices up, you may see dentists start to just move their purchasing decisions to other companies that don't raise prices so much. So the question, I guess, is more, what do you think your pricing power is in a tariff environment? Can you raise prices multiple points here on some products and get away with it without having to worry about customers shifting purchase preferences to other companies? Just how are you thinking about that maybe over the next few quarters?
Paul Keel: Yeah, let me answer it in general terms and then specific country by country category by category and type of customer by type of customer. And I'll say more about what I mean by that. But in general, a couple of things have been true across my career in dental, that clinicians in particular sort of the higher, I don't want to say higher quality, but the clinicians who play at the higher end of the pyramid, they value innovation. So they are willing to pay more for a better solution that improves either a clinical outcome for their patients or for clinical efficiency in their practice. In those cases, you can capture price. I think the second part of it, what was implied in your question is for pure commodities where you don't bring anything in particular to the customer other than the product. You're right. Those can be very price sensitive circumstances. Which brings me on to the second half of the answer. Country by country customer or category by category and type of customer by type of customer is important. Right now, I would say the U.S., yes, is more price sensitive than some of the other markets. Some of our emerging markets, for instance, where there's a bigger differentiation between sort of the top of the pyramid provider and more of the lower tier provider, they tend to be less price sensitive than a similar volume customer in the U.S. You got to go category by category, of course. Those where we have a stronger market position and those where we bring more innovation. Of course, we have greater ability to capture price. Then type of customer here is important. The DSOs, of course, are much harder to capture price in that category than it would be with the individual clinician might have a strategy.
Jeff Johnson: That’s helpful, thank you. And then maybe just a real quick one for Eric. I just make sure you still with us here. I think two of the biggest swing factors in the second half of ‘25, in my model anyway, on the margin side. Are you still expecting to get two-thirds of that $45 million or so Spark deferral from last year, two-thirds of that flowing back through the P&L in the first or in the back half of this year, and then I would assume that $4 million stub and the other, whatever $15 million stub flows through early next year. One is that two-thirds of the $45 million flow through is still expected in the second half this year. Two, I think you had quantified it at about $20 million of savings from cost takeout and other restructurings this year. Is that still the right number to be thinking about as far as restructuring savings or have those gone up, I guess, as you try to mitigate some of the tariffs? Thanks.
Eric Hammes : Great question, Jeff. I appreciate it. I think the headline for Spark is no change in terms of what we communicated in the last call. Let me just remind you, maybe remind everybody of the details. Last year, we talked about the net headwind being about $45 million for the full year on a revenue basis from the Spark deferral change that we made. We indicated also on our Q4 call that we expected about two-thirds of that to come back as a tailwind this year. The charts that we provided indicate about a $4 million headwind in Q1. We expect that to be roughly neutral year on year in Q2, which means the balance of it, really all of the two-thirds of the $45 million will be in the second half. Most of that is going to be in Q3. When we get into the Q2 call, we will probably give you even more specifics on that. No real change to that algorithm, that formula. As you can already figure out, that is part of the reason that we will have an outperformance, at least on a relative basis for core growth in the second half of this year. Then restructuring, what we said on the Q4 call was $20 million. We are very much in line as we executed that coming even through first quarter. The majority of that benefit is going to hit in 2025. We will have a little bit of investment. You saw for example, we increased R&D this quarter year on year, quarter on quarter about 8%. But most of that is going to hit in 2025. I would say no change to what we committed to, how we are executing and how we see it. We do see G&A performing better. That is outside of a restructuring comment. This quarter was a very good G&A reduction, as you heard from Paul, both year on year and sequentially and as we move forward. Without us having a specific next-level action to your question about restructuring, we do see good initiatives yielding good results. That is part of the playbook we have got for making sure we can mitigate as much as possible on the tariff front.
Jeff Johnson: Thank you.
Operator: Thank you. Your next question comes from the line of Allen Lutz with Bank of America. Please go ahead. Your line is open.
Allen Lutz: Good afternoon. Thanks for taking the questions. One for Paul or Eric here on implants. Premium implants grew globally. Challenger looks like it was a little weak this quarter. What drove the softness in Challenger in 1Q? What are the expectations embedded in the guide for the rest of the year between those two? I think you have some product launches coming in the second half, trying to get a sense of what the expectations are for those two pieces for the rest of the year. Thanks.
Paul Keel: I am going to take that one and then if I miss something, Eric will jump in. Challenger had four straight quarters of growth in 2024, dip into the negative in Q1. You might remember at the beginning of Eric's comments, he mentioned that we had two fewer billing days in Q1 and that we created a modest non-operational headwind in particular for our direct businesses. Challenger is a good example there. So I think that played a little bit of a part of it. More importantly, the second half of your question, what do we expect across the year? We do not see this as signaling a change in trajectory for our Challenger business. It is an important category for us. As you know, we under-index in Challenger relative to premium. We are very focused on growing our Challenger business both organically and if the opportunity comes up, it tends to be one of the more active M&A categories. We look there as well. Specific to what is included in the guide, I will look to Eric on this, but we are not anticipating a change to the trajectory on either premium or Challenger. Steady, slow progress, again, continuing to move towards market rates growth.
Eric Hammes : Yeah, Allen, just a couple of points. Just to reinforce what Paul mentioned in terms of billing days, first quarter. We did not get deep into it. We did just want to make everybody aware of two billing days quite a bit for a direct business. We saw it coming into the quarter. We felt it to some degree even exiting the quarter. I will just underscore Paul's comment. Nothing of a dramatic core growth trend as we go through the year for premium. Likely slightly better in the next couple of quarters, but that business has been on a relatively consistent upticking trend and we expect it to be similar in that same vein. And then maybe a little bit better back half Challenger growth. That is because one of the products that we manufacture does come out of Europe and we saw softer business there in the back half of last year, even though we had four quarters of good core growth in the business globally.
Allen Lutz: Thank you very much.
Operator: Thank you. And your next question comes from the line of Steven Valiquette with Mizuho Securities. Please go ahead. Your line is open.
Steven Valiquette: Hi, thanks. Steve Valiquette from Mizuho. I guess separate from the Spark deferral accounting distortions. Are you able to disclose whether the Spark ASP just moved directionally up or down sequentially in 1Q’25 versus 4Q’24 and what are the key drivers within that? And also, are you seeing any other major clear line or competitors raising prices either in relation to tariffs or really for any reason, I guess? Thanks.
Eric Hammes : Yeah, Steve. So just to hit on the first piece, so no major change in our Spark average selling price. I would just go back to a comment Paul made just previously in terms of innovation in the market space and the ability to capture price or value. For us in our Spark business, that means a consistent level of price, a consistent level of value capture. And of course, backed by the fact that we've been performing well in terms of primary case growth, revenue growth. And of course, if we strip out the deferral. Ae had another quarter of good high single digit net revenue growth in our Spark business. And then the second part of your question, for sure. The competitive landscape is challenging. I would just say as a reminder, we do the same, I think, for everybody. Just to remind everybody that we focus very specifically on the orthodontic segment. It is a segment that we have good brand presence in, we have good brand power in. Of course, the business has penetrated very well over the last many years and quarters, still has a lot of untapped market potential. And that's why we see ourselves best positioned in that place, both from a value standpoint, as well as what we're doing, of course, on the back end in terms of improving the gross margin of the business.
Steven Valiquette: Got it. Okay, thanks.
Operator: Thank you. And your next question comes from the line of Brandon Vazquez with William Blair. Please go ahead, your line is open.
Brandon Vazquez: Hey, everyone. Thanks for taking the question. Can I go back to China and tariffs for a second? Are you guys able to right size this to any degree, whether it's your entire China business, or would it be really helpful, your premium implants? Because it sounds like that's what's most impacted by importing to China. How big that business is these days? And part of the question here is also trying to understand, is there inventory being held in China, or are you having to ship currently under, I believe, 125% tariffs? Are you having to ship some of the Nobel implants into China today, incurring those higher costs?
Paul Keel: Yeah, let me take that. So we have a large business in China. I think we've disclosed before, it's in the high single digits, it's a percent of our total revenue. And our implants business is the biggest part of that, of which premium is the biggest part of our implants business. That was the first part of your question. Second, do we hold inventory in China? Yes. While it is a direct business in most parts of the world, in China, just because of the logistical complexity, a lot of the premium business still goes through distribution. So yes, there is inventory, premium inventory in China. Third part of your question, are we currently shipping into China and incurring tariffs? The answer is yes, we are. And we're in the process of shifting, as I mentioned, under Jon's call, supply for China from the U.S. to our site in Sweden. We expect that to take a couple of months to get fully implemented.
Brandon Vazquez: Okay, perfect. That's super helpful. One last quick modeling one. Any updates on shifting or finding some new structure for the tax entities on a go forward base? Thanks for the question.
Eric Hammes : Yeah, great. Excellent. I'll take that. So maybe just as a reminder on a couple data points. So our guide for the year that we put out in fourth quarter was 37%. If you go back to the pre-read remarks, you may have heard me mention that we still expect the tax rate this year to be 37%. We did have a lower non-GAAP tax rate in Q1, around 31.5%. That's primarily because we saw better U.S. income or U.S. income improvement. Because of the high interest deductibility cap, anything we can do to generate better U.S. income is incrementally favorable to our U.S. tax rate. That being said, as we look outwards, we see the tariff environment being a little bit challenging on U.S. income. And that's the reason why we're holding to a guide right now of 37%. Making good progress on the point you mentioned, in terms of just the high interest deductibility cap. I won't say much more on that. I do expect that we'll be able to get some updates on that as we get into middle of this year. But we have a good path. I mentioned, I think on the last call, something that takes time. And we'll certainly keep everybody updated as we get further into it.
Operator: Thank you. And your next question comes from the line of Erin Wright with Morgan Stanley. Please go ahead, your line is open.
Erin Wright: Great. I'm curious if you think you're benefiting at all or seeing any sort of other disruption around your competitors across the various businesses. And then on the flip side of that, from a supplier standpoint, I guess any disruptions there in terms of your distributor partners, just with recent transactions on that front? Thanks.
Paul Keel: So let's see. Are we seeing any change in our behavior with respect to our competitors or with respect to our suppliers? The second one's easier. Yeah, we are seeing responsiveness from our suppliers. The same sort of tenor of the conversation on this call takes place with our suppliers. We've been working with many of these folks for many years, and they're very much committed to our success. So they're moving quickly and responsibly to support those sort of category two impacts in particular that I mentioned, raw materials or semi-finished goods that are tariff impacted. The first part with respect to our competitors, they're a capable, nimble bunch. So they're always moving, whether they're doing that response to tariffs or not, a little bit more difficult to discern. But a couple things are true about dental. It's an attractive market. People know it. Second, although it tends to have a few strong players in each category, they're all relatively capable. And three, it's that kind of intersection between capabilities and competition that keeps propelling the industry forward. So I don't know if tariff change is that much, Erin, to tell you the truth.
Erin Wright: And how much does guidance now assume in terms of price realization for the year relative to what you were anticipating previously?
Eric Hammes : Erin, your question was, let me just make sure I caught it, was price realization for the year versus prior guidance. Is that it?
Erin Wright: Correct. Yeah.
Eric Hammes : Okay. Yeah. So what we mentioned when we issued the guidance is that we expected price growth for the year to be roughly in line with what we did last year. Last year, we had about 60 basis points of growth as a reminder. So that's how we were seeing our price reasonably equal, I would say, throughout the quarters for the full year with a bit of a nuance between first half, second half, China VBP. That is the one single element that's not playing a big factor in our price today or in the first half that will play a little bit more heavily in the second half on a weighted basis. And then we're not giving a sort of a re-guide on price, but I'll just go back to how Paul opened the call relative to Jon's question around our tariff actions. So they are in the space of distribution network, manufacturing, as he just mentioned, working with suppliers, but then we do expect cost and price also to play a role in that mitigation. So net-net, we should have a little better pricing than we were originally thinking in our guide. As we get further into our plan and the execution of that, we'll get some updates.
Erin Wright: Thank you.
Operator: Thank you. And your next question comes from the line of Michael Cherny with Leerink Partners. Please go ahead. Your line is open.
Michael Cherny: Good afternoon. Thanks for taking the question. I guess just a quick one at the end here. We've talked a lot about the macro concerns for your customers, macro concerns regarding various different end markets. As you think through your strength, your broadness, and you've talked about the balance sheet. What does the potential for the M&A environment look like on your front? You're managing through the macro concerns as best as possible, but clearly there's a number of small vendors that might be seeing bigger worries because of lack of scale, supply side issues. Anything you can update us on relative to your appetite and the potential opportunities that you have to potentially consolidate lower capitalized other players in the market?
Paul Keel: I'd come at it a couple of ways, Michael. First, I would begin with just a reminder that cash generative business tends to generate more cash than it consumes, which then takes us to our capital allocation priorities. It starts with funding organic growth. High margin business, high return on investment business like this, the highest risk adjusted return for any marginal dollar is going to be an R&D, commercialization, clinical training, et cetera. The second though on the list is accretive M&A, and I underline the accretive piece, which I think brings us on to the sentiment of your question. In the same way that public market dental multiples are down, we're seeing the same in private transactions. We of course, believe in the long-term attractiveness of dental. Generally speaking, yeah, we think this is an opportunity to take advantage of our strength, both in terms of market position and balance sheet. As attractive assets come up available at lower multiples, yeah, we'd take a good look at them. Does that cover it?
Michael Cherny: It does. Thank you.
Paul Keel: All right. Thanks for the question, Michael. I think that's it for the Q. Maybe I'll just wrap up by thanking everybody for tuning in today and close with just a couple of wrap-up comments. The first would be that Q1 was a solid start for Envista. As we mentioned a couple of times, market conditions were similar to what we saw in the back half of 2024. Our growth and margins were broadly in line with what we expected, and EPS was a bit ahead. Our performance, I would say, was generally broad-based. Most of our businesses and geographies delivered positive growth. And the performance was also broad-based in terms of the work we're doing to deliver those results. We saw good continued progress on operations and execution, and we saw good progress on our people and culture priorities. Naturally, we talked a lot about tariffs on today's call. I think that the takeaway from all that is probably threefold. First, like all global players, we do have exposure. Second, the same global exposure or the same global reach that causes that exposure also gives us the footprint and flexibility to respond to it. And so net-net across 2025, we expect to cover the tariff impact that we know of today. Finally, I guess it'd be appropriate to close by saying that while macro uncertainty is certainly elevated and the distribution of potential outcomes here has widened, dental has historically been more resilient than the broader economy. So for this and the many other reasons that we discussed on today's call, we maintain our 2025 guidance that we issued on the Q4 call. And I think that probably covers it for today. I'll thank you all for tuning in and wish everyone a great day and a great week. Thanks.
Operator: Thank you. This does conclude today's presentation. Thank you for your participation. You may disconnect at any time.